Operator: Good day and welcome to the StealthGas, Inc. Half Year 2015 Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Harry Vafias. Please go ahead.
Harry Vafias: Good morning, ladies and gentlemen and welcome to our second quarter and half year 2015 earnings presentation webcast. This is Harry Vafias, the CEO of StealthGas. Joining me on the call today is the Finance Officer, Mrs. Fenia Sakellaris, who will be presenting the company’s financial performance at the later stage of our call. Before we briefly present our today’s topics and discussion, I would like for all of you to be reminded that we will be discussing forward-looking statements, which reflect current views with respect to future events and financial performance. At this stage, please take a moment to read our disclaimer on Slide 2 of this presentation. It’s noted that risks are further disclosed in StealthGas’ filing with the Securities and Exchange Commission. Let’s proceed in summarizing today’s agenda. I will begin with an overview of our company’s highlights for the second quarter of this year, then we will discuss our financial performance and provide an overview of the LPG market. And finally, after a close look at our stock performance, I will share our views on our company’s outlook. I would like to note that all amounts, unless otherwise clarified, are implicitly stated in U.S. dollars. Moving to Slide 3, we are summarizing our company’s key highlights for the period. As an opening statement, I would like to point out that in terms of market conditions, the second quarter ‘15 was quite challenging as freight rates were in the lower end of their cycle. Nevertheless, we are pleased particularly for operational performance. During Q2 of ‘15, we took delivery of four new Eco LPG carriers, the Eco Enigma, the Eco Royalty, the Eco Loyalty and the Eco Universe and since then we had further three new deliveries of Eco LPG vessels, namely the Eco Galaxy, Eco Czar and Eco Dream, all from top quality yards. In addition, we concluded in April 15 the divestment of two of our oldest vessels, the Gas Kaizen and the Gas Crystal for demolition using our company’s operating cost base and lowering our fleet’s average age. With regards to our fleet management operations, I believe the fact that this quarter we achieved virtually 100% of fleet utilization proving our technical superiority. Our operational efficiency is yet for another quarter proven, but a reduction of our daily OpEx and daily breakeven. In terms of fleet employment, we have 70% of our vessels on period charters for the remaining of the year, continuing our earnings visibility policy adjusting it however to an environment of soft market conditions. Proceeding for our financial highlights in the first half of ‘15, we recorded revenues of $68.1 million, increased by $2.4 million compared to the same period of ‘14, while our adjusted EBITDA, a measure which excludes non-cash items amounted to $30.2 million. In terms of our leverage and cash position, we maintained a low gearing of 34.4% in spite of our company being in an intensive capital expansion phase, while our cash balance was also preserved at higher levels of about $90 million. As a remark, I would like to share that our strong operational cash flow allows us to cover most of our company’s needs. Therefore, we are able to maintain a stable capital structure even when in aggressive capital expansion. Looking at our company’s position against peers in Slide 4, StealthGas, with an estimated market share of about 20%, remains the leader in the small LPG carrier segment. Our company has the highest number of owned vessels and the heaviest fleet expansion schedule compared to the other peers. In terms of our average fleet age, it was reduced in Q2 ‘15 to 9.5 years from 10.3 years in Q1 ‘15 and it would be lowered further as our remaining newbuildings get delivered over the next 24 months. Slide 5 presents our fleet employment. In terms of charter types, out of a fleet of 51 owned vessels and as of August 2015, we had 16 of those on bareboats, 25 on time charters and 10 in the spot markets. The two vessels that are chartered in by our company, the Gas Cathar and Gas Premiership are also sublet on time charters. Based on pre-agreed contracts, some of which extend up to the year 2022. Committed revenues amount to $230 million. On average committed duration is currently 2.3 years. I would like to note that despite of soft market environment, we have managed to fix the number of our vessels into long-term charters with appealing returns, but overall, this quarter we mainly followed the short to medium-term chartering policy, so as not to commit our vessels long-term during the soft market. Given the weak market conditions to our company’s success that they managed to fix some period charters of about 90% of our newbuildings delivering this year, which is 7 out of 8 ships as well as contract almost 45% of all our vessels above 15 years of age. In terms of our fleet deployment on period charters, during the past few months, we concluded three short-term charters, four charter option extensions, two time charter 1-year duration and a 3-year bareboat charter with a 2-year extension option for our Product Tanker Navig8 Faith. Our new bareboat hire will give us an EBITDA of approximately $8.7 million through its 3-year period excluding the profit split element. With regards to our fleet geography presented in Slide 6, 56% of our fleet rates in the Middle and Far East, 24% in Europe, 11% in South America and 10% in Australia. In comparison to our fleet composition presented in the previous quarter, during Q2, we had some vessels allocated in the Middle to Far East region as their charters expired. As far as our trading composition is concerned, I would like once again to note that our company focuses on regional trade and local distribution of gas with the majority of the LPG we carry covering household needs. There is an inelastic element to our trading market and I mentioned this having in mind the volatility in oil prices, particularly the declining trend since residential LPG consumption is virtually unaffected by oil price change, while the industrial LPG consumption is affected by a small percentage. Slide 7 demonstrates our fleet breakdown and development plans. As of August 20, our company owned a total of 51 ships. As presented in the table to the left, during Q2 ‘15 we took delivery of four new Eco LPG vessels and concluded the demolition of two of our oldest vessels. Since the beginning of Q3 to-date, we took the delivery of an additional three Eco LPG new ships. Our company aims to reach 59 fully owned ships and 69 vessels controlled by the end of 2017. With regards to our fleet characteristics taking into account, the addition of our newbuildings, our average vessel size is slightly below 5,000 cubic meters with about 72% of our fleet falling in the 3,500 to 5,000 cubic meter category. Following to Slide 8, I will briefly comment on the remaining of our capital expenditure program scheduled to take place from August 2015 to the year ‘17. Excluding the $48.2 million advances paid to-date for our upcoming deliveries, we have an ongoing CapEx plan of another $243.5 million up to the end of ‘17 for the delivery of an additional eight new LPG ships. As mentioned in the previous quarter, in ‘17, we expect the delivery of the four 22,000 cubic meter new generation semi-ref vessels, an investment which corresponds to 73% of our remaining capital expenditure. Again, I would like to repeat that our strategic decision to enter this new market segment was not to replicate what we are currently doing as leaders of the small scale LPG segment, but rather to put us in a position to offer more integrated services to our customers at a lower cost with brand new high-quality assets, mostly from Japanese yards. Semi-ref vessels of this size are able to carry a bigger variety of gasses on medium-haul routes. As presented in the capital expenditure analysis to the right, $48.2 million of the remaining CapEx has already been paid as equity advances. Another $61.8 million is committed bank debt, while a further $125 million of debt is under negotiation for the semi-ref vessels discussion on which we expect to conclude in Q1 ‘16. This leaves us with $56.6 million of equity funding requirement. Taking into account, but cash in our balance sheet starts at about $90 million. StealthGas is already in a comfortable position to equity finance these future CapEx requirements. I will now turn you to Mrs. Fenia Sakellaris for our financial performance discussion during the second quarter and half ‘15. And later, we will discuss the market and industry outlook.
Fenia Sakellaris: Thank you, Harry. Good morning to everyone. Let us move on to Slide 9, where we see the income statement for the second quarter of ‘15 and the half year results against the same periods of the previous year. Looking at the second quarter results, our voyage revenues came on $32.4 million, increased by 2% compared to the same period of ‘14. The moderate revenue increase in spite the net addition of four vessels is attributed to two factors, low demand to seasonal factors and low freight rates as the market is at the bottom of the cycle affected by weak economies and the vessel oversupply. In the demand was lower than expected as LPG inventories were quite high this quarter and thus the rates year-on-year decline was as high as 28% for the 2,500 CMB vessels. Voyage costs amounted to $3.9 million, marking a 12.4% increase compared to Q2 ‘14. At this quarter, we had the higher number of vessels operating in the spot market. It’s worth mentioning that this quarter compared to Q2 ‘14 spot days nearly doubled. However, the increase in voyage costs was less than anticipated since we saw a sharp decline in bunker fuel costs. In the second quarter of ‘14, average price of crude oil was $103 per barrel, whereas in Q2 ‘15, it was $57 per barrel. Based on the above, net revenues came at $28.5 million. Running costs marked the 7.2% increase, because of the net addition of four newbuildings plus the continuous of including OpEx for the two vessels sold and leased back by our company which are currently on time charters. Focusing on operating cost categories, we would like to point out that this quarter we saw an increase in crude cost attributed to our fleet expansion and the slight increase in wages which was affected from the beginning of June ‘15. In all other main cost categories such as stores and maintenance costs, we managed to mark a cost reduction in spite of our fleet expansion. In addition, comparing the daily operating cost of the vessels, we operated both in Q2 ‘15 and in Q2 ’14. We were pleased to see that 20 of our vessels marked a decline in their daily operating expense. With regards to dry docking costs, they amounted to $433,000, given the completion of a dry docking of Gas Marathon. Overall, our schedule for ‘15 has two more vessels to be dry docked in the third and fourth quarter of the year. However, this number might increase as some vessels are scheduled to be dry docked in the beginning of ‘16 could potentially be accommodated in the end of ‘15. Our EBITDA for the second quarter of the year came at $9.8 million reduced by approximately $6 million compared to the second quarter ‘14 as a result of the aforementioned increase in voyage and running costs but mainly as a result of the $3.6 million impairment loss we took in order to account for the possibility of scrapping one of our oldest vessels until the end of the year. Without this impairment, our EBITDA would have been in order of $18.5 million. Interest and finance costs marked a decrease of $228,000 mostly attributed to lower commitment fees incurred. With a net loss of $1.3 million, our earnings per share was minus $0.03 on 41 million outstanding shares compared to $0.12 on 38 million outstanding shares in Q2 ‘14. Looking at our adjusted net income however, which reflects more accurately our income generation as it excludes non-cash items our EPS for the second quarter of ‘15 was $0.06 per share. So as to briefly summarize our half year results of ‘15, we managed to generate net revenue of almost $60 million, increased by $800,000 compared to half year ‘14. Our adjusted EBITDA came at $30.2 million while our adjusted EPS at $0.20 to $0.32 in half year ‘14. Slide 10 demonstrates our performance highlights for the period examined. Due to soft market conditions, our operational utilization was 89.2% in Q2 ‘15 compared to 92.3% in Q2 ‘14 and spot days almost doubled as we had 11 vessels in the spot market compared to seven vessels in Q2 ‘14. Focusing on the average daily results, our adjusted time charter equivalent is lowered by 10% both in Q2 ‘15 and half year ‘15 compared to the same periods of ‘14. From this, it is evident that weak freight rates impact our income generation. At this stage, we would like to note that despite of hard market condition, it is a result of our efficient management and the expansion of our fleet with Eco new vessels that we see for yet one more quarter a reduction of our daily operation expenses. Looking at our balance sheet on Slide 11, our asset base at $948 million is a shade below $1 billion, that number will grow as our fleet expansion schedule progresses. Compared to the end of the year ‘14, our asset base marked a slight increase in value following the delivery of the five new Eco LPG vessels and the divestment of two vessels for demolition in April ‘15. Our strong liquidity continues in spite of our ongoing expansion plan as our cash for the half year ‘15 were approximately and $90 million. Focusing on the equity and liability side, our gearing remains low in the order of 34.4% and total company leverage increased by $1.6 million. We see it as a very positive sign that our company produces a strong operating cash flow, thus being able to easily continue schedule debt repayment and present moderate leverage. Slide 12 proves our company’s financial strength. Although LPG charter rates are close to the bottom of the rate cycle and as presented to the top graph to the left, our daily TC follows a declining trend, but so does our daily breakeven. For the second quarter ‘15, our daily breakeven was $5,900 compared to $6,400 in the same period of ‘14. Again, for the half year ‘15, we have a daily breakeven in the order of $6,000 versus $6,400 in the half year ‘14. This decrease is primarily driven by a reduction in our daily OpEx. Finally, looking at our gearing characteristic in terms of our operating cash flow generation, it is evident from the left bottom table that we are very relaxed covering our finance obligations as well as covering our scheduled principal repayments. As a concluding remark, although this quarter revenue generation did not reflect our potential, we still remain operating profitable lowering our daily OpEx costs and generating sufficient cash flow to cover our company’s needs. I will now hand you over to our CEO, Mr. Harry Vafias, who will discuss market and company outlook.
Harry Vafias: Let’s proceed with Slide 13. LPG transportation demand is exhibiting and will continue to demonstrate the positive trend. During ‘14, demand for LPG transportation grew by 9%, while it’s estimated that the growth rate for ‘15 will be somewhat lower in the order of 7%. The main reason behind this, in a market of declining oil price and a slow global economy is the increased imports of China from the U.S. which is anticipated to continue to increase in the upcoming years. Overall, LPG price arbitrage is between the U.S., Europe and Asia plays significant role in shaping international trade and mostly benefit the larger LPG ships rather than the coastal ones. In terms of coastal ships, indeed this year, the falling freight rates have exerted pressure in our market, but I believe that our segment will be affected positively perhaps by China’s imports, the intensification of U.S. exports and the increased activity in the Middle East by the lifting of the uranium sections. With regards to China and the upcoming operational several PDH facilities from ‘15 to ‘16, we expect that this will be negatively affecting the trading of propylene, but will potentially increase China’s LPG imports. Slide 14 shows the evolution of the LPG charter rates. As evident by the table, we had experienced declining rates during the past year. The most affected segment in time has been the smaller ones, the 3,500 cubic meters with a year-on-year decline in the order of 27%. I strongly believe that one of the main reasons of seeing such low rates and being in the bottom of the rates circles apart from the slowing global economy in oil price volatility, the exist owners prevailing the coastal carrier segment. Moving to Slide 15 shows to continue our market discussion in the graph to the left, we see that almost a quarter of the small scale LPG fleet is above 20 years of age and therefore the markets will scrap more. I strongly believe that in this soft rate environment, the number of newbuilding deliveries we show in ‘14 along with minimal scrapping activity till today does not help the market to balance itself. And move towards to scrapping the older vessels will relax vessel supply and with a stronger Chinese and/or European economy should help the market improve once more. This is the main reason why we took this strategic decision to sell two of our older vessels for demolition and we might scrap a few more within the next 12 months. With this move and as a market leader, we hope to set an example for our fellow market participants to follow suit. As in concluding but yet very interesting remark of our market presentation, I would like to share that as evident in the graph presented to the right, the order book up to 2017 has significantly declined. And more importantly, we have seen only a single vessel being ordered from the beginning of the year until May ‘15. This differentiates our market with other sectors that has still large and increasing books. I will now continue to discuss further our company’s outlook commenting on our share performance for the second quarter of ‘15 in Slide 16. The performance of our stock is presented and along with selected gas carriers peer group. It’s very evident that oil price volatility strong affects energy related stocks. Up to the end of June ‘15 when oil price was increasing, shares presented marked a positive increase, which was not sustained as in July, oil price began to decline. It can be altered by VLGCs related stocks seems more unaffected to the sharp oil declines compared to the handy size and coastal carriers. Proceeding to Slide 17, we are showing different scenarios on the company’s performance for year ’16, while the company will be operating a total of 57 ships. In general, I hold a conservative view on making such predictions. The different scenarios were based on our existing fixed charters plus open days with current market rates. As evident from the table presented which indicates the effect of various time charter rates on our EBITDA, low rates now are EBITDA potential. With our strong modern fleet in place, we have the capacity in ‘16 to reach an EBITDA of $90 million should market conditions permit so. To summarize, we have the infrastructure of the balance sheet and the market know-how to navigate safely even during the weak times and this can be deemed as our company’s biggest success. Proceeding to slide 18, the final slide of our presentation, we can see some valuation multiples of StealthGas against comparable companies. Most peer group companies trade at a discount to NAV while asset values exceed current enterprise values. In that respect, LPG carrier shares, including StealthGas offer an attractive entry point. Our shares trade at the discount to the peer group and since we are greatly undervalued but we do have strong company fundamentals, we feel that we currently offer good opportunity for medium term investors. I would like to close our presentation with the following concluding remarks. Admittedly, the second quarter ‘15 was a challenging one particularly due to a softer-than-expected demand attributable not only to seasonal factors, but also a weaker macroeconomic environment. This condition resulted in lower freight rates and thus have had an impact on our revenues. For this reason, we were not able to demonstrate in our income generation our company’s true potential. Our company is in the process of implementing an aggressive fleet expansion plan, the heaviest and the most promising than any other of our peers which to-date, is being implemented efficiently and according to schedule. Despite the soft market, we have managed to put 7 of our 8 of this year’s new deliveries and peer charges with satisfactory terms. Earnings visibility is one of the pillars of our company’s success. We continue our fleet deployment strategy adjusting it to the given market conditions and cautiously charter out our fleet, our medium to long-term charters or else before short-term period features so as not to commit our vessels in a low freight environment. This strategy has paid off yet once more as up to the end of 2015, we have 70% of our fleet on secured employment with future committed revenues of about $230 million. Our technical efficiency was evident this quarter as we achieved the fleet utilization of 99.9%. Most importantly, we would like to state that we are proud for the way we managed to navigate our company’s operations as yet for another quarter. We show a decline of our daily operating cost, a true evidence of operating efficiency. Our cash continues to stand strong at about $90 million and our leverage is still maintained at a moderate level of only 34% of our assets despite this rapid fleet expansion. Our operating profitability was maintained under very difficult market conditions. Given the unpredictability of freightage, we at StealthGas have been since our IPO supporters of the conservative stance, with low debt and more than Eco fleet mostly from Japanese yards, a strong cash balance, an active share buyback program and a number of long-term charters, we feel confident that we will weather the storm and emerge stronger thereafter, exactly what we did in 2009 to 2010 when our stocks fell below $4, but a few years later had tripled in value. Moreover, we currently trade at about one-third of steel value and based on our company’s fundamentals, we feel that this presents a great opportunity since as you know better than me the best bet of shipping stocks has been the countercyclical ones. We have now reached the end of our presentation. We would like to open the floor for the questions. So please, operator, open the floor.
Operator: Thank you. [Operator Instructions] We will now take our first question from David Sachs from Hockey Capital. Please go ahead.
David Sachs: Good morning, Harry. It’s David Sachs.
Harry Vafias: Hi, David.
David Sachs: Hi. Just to discuss your philosophy at this point on the share repurchase program, it seems like that you are interested waned a little bit during the quarter from where it had been and just given your current cash position and your commitments in the cash production of the business is what you are thinking about in terms of executing on that buyback?
Harry Vafias: There is not much to say. We have had the program of $30 million. We have spent about half and we will continue to keep spending. But as you know, with the regulations that we have, we cannot buy whenever we want, we cannot buy at whatever price we want and in order – the volume, the share daily volume has been very minimal as you know very well. So, unless people are selling big blocks of stock, even if we wanted to spend the money fast, it’s not easy with such small daily share volume.
David Sachs: Okay. Second question, if we could talk a little bit about the macro environment, you discussed where current rates are near the lower end of the historical range. Can you please give us some sense of what you think will be the catalyst to increasing rate, is that going to rate risk scrappage? Is it going to be demand driven? And how do you see that playing out over the next 6, 12, 24 months? Thanks.
Harry Vafias: I have no idea about the future. Whoever has meant predictions in shipping in energy related stocks has been wrong as you know very well. The future of the rates depends on a few things, we have discussed them before, price of oil, the global economy, China, Europe, scrapping of ships, a reduction of the future order book, these are the main factors affecting LPG shipping and LPG freight rates. Now, I mean who expected the price of oil that it would still be $40 a barrel, I don’t think many people did especially last year. Who expected that will happen in China the last two weeks, the last one week, nobody, I guess. So because nobody can predict the future, what can do is be very conservative, be very careful on our running costs, be very careful on our debt because when rates collapse people get killed – companies get killed because of too much debt. So this is what we are trying to do, I am trying to sell selectively our older ships for scrap in order to try and help the supply situation and also reduce our cost by scrapping ships that cost more to run.
David Sachs: But your actions are to be commended at least in terms of portfolio management and exiting some of the older assets that looked like good prices and then as well the lease transactions that you executed over the last six months or eight months, those were quite well timed as well, I don’t know if there are any additional opportunities for pruning the fleet like that whether you consider selling some of your MRs?
Harry Vafias: If we sell our MRs there will be two problems. One, we will be booking a big book loss, because these were bought at the good times and the ships were expensive. And secondly, we will be deleting some very good – positive cash flow for the company. So I don’t know why. I mean, if we saw very good pricing, we would sell, but it’s not our priority right now. These ships are helping the bottom line. These ships are on bareboat, so we have zero maintenance and running costs for them. So the only thing these ships do is bring good money in the company, good money in the bottom line. So and it’s only as you know three ships out of a total of 57, so it’s not like a huge amount of ships that is taking lots of our time and so on.
David Sachs: Although the thinking there was getting fair value for those vessels and if your shares are trading at as you just pointed out earlier 30% or 35% of the metal value that there is a significant arbitrage of being able to get a full and fair price for a non-core asset and redeploy...?
Harry Vafias: I agree 100%. But as I said before, let’s first finish with the buyback program, the existing buyback program. And then obviously, the situation is the same, that’s one of the ideas, yes.
David Sachs: Okay. I will get back in queue.
Operator: [Operator Instructions] We will now take our next question from Dan Abromowitz from Hillson Financial Management. Please go ahead.
Dan Abromowitz: Good morning.
Harry Vafias: Hello Dan.
Dan Abromowitz: I have a follow-up question on the share repurchase program. As you know, we have been strong advocates of aggressive stock repurchases, you started the program at $10 million, you added the $20 million which was – which we thought was very good, you started the buybacks fairly aggressively and the buybacks have been trending down since late last year and early this year, you bought less in the less first quarter than you had bought before and you bought less in the current quarter than you did in the first quarter, the stock has dropped considerably from when you started the program, you are talking about the fact that it is difficult to buy stock in the open market because of the liquidity which we recognize. So we have also advocated in the past for a self tender as a way to buyback a large chunk in one fell swoop, you have resisted that in the past, so I am wondering now with the stock at foreign change and the liquidity problem remaining, if you are now willing to consider a tender as a way to complete the buyback program more efficiently and more quickly?
Harry Vafias: We will discuss it, Dan I cannot give you an answer because it is not under my authority to discuss this kinds of things. It will be discussed at Board level. As I told you, the share buyback program has not been terminated, the exact opposite. We will continue to do so until we spend all the $30 million, unless of course the whole world comes upside down. But speeding it up is one of the ideas, yes you are not wrong.
Dan Abromowitz: Okay. Well, I understand it’s a Board decision, but we will just – I will just make the point that we would strongly advocate for a tender at this point. You could probably buyback a good chunk of that remaining $16 million or so at a price similar to you’re your average price has been now that the stock is where it is and we would strongly urge you to consider doing that in the near future. Thank you.
Harry Vafias: Thank you, Dan.
Operator: [Operator Instructions] We will take our next question from Jeff Geygan from Milwaukee Private Wealth Management. Please go ahead.
Jeff Geygan: Thank you. Good afternoon Harry.
Harry Vafias: Hi Jeff, how are you?
Jeff Geygan: I am well. Thanks. I would echo Dan’s thoughts as a shareholder I would like to see you tender for your stock. As you recall, directors represent shareholder interests so yet another shareholder advising our director reps to consider the tender. My question relates to opportunities that you are seeing in the marketplace to make acquisitions, assuming that others are also trading at discounts, are you seeing opportunities that might make sense?
Harry Vafias: We have seen a few but it’s quite difficult to decide because when you are trading at the third of the NAV – at one-third of the NAV, what’s better to buy your own stocks – your own stock at a third of NAV or to buy another asset at I don’t know 10%, 20% discount to NAV. I don’t know what’s best. If we didn’t have this big order book with brand new ship from top quality yards, I guess we would be more aggressively picking up bargains, but since we have such a big order book and we still have lots of ships to take deliver in ‘15, ‘16 and ‘17, it has to be a fantastic bargain to make us look at it.
Jeff Geygan: Fair enough. But it’s not a binary decision you could buy in your own stock, you could acquire other assets on the cheap as well. Thank you, good luck with the…
Harry Vafias: Thank you, Jeff. But don’t forget that if the market continues to be soft, we need to have certain cash and we cannot spend all the money on buybacks and in new ships, because if the market continues to be like that and for another, I don’t know, 1 year or 2 years, then we will end up having problems like some of our dry bulk friends.
Jeff Geygan: Thank you.
Harry Vafias: Thank you. Thank you, Jeff.
Operator: [Operator Instructions] We will take the next question from David Sachs from Hockey Capital. Please go ahead.
David Sachs: Harry, if you could discuss the thesis behind the purchase of the four semis that you are getting in 2017, whether that decision still makes sense today versus the date you committed to it, the market variables that affect the profitability of that subset of the market. And then to the extent did you would change your mind or can’t secure the financing, what does that do to your – do have a penalty involved in walking away from that order?
Harry Vafias: Yes. Good question, actually if you look at the numbers generated today at least, this has been the best decision we have ever made, because this ship still make $1 million a month which is about 20% return on equity where the small ships at the moment make silly returns. So up to now, it’s proven a very good decision. Now, of course I don’t know what will happen in Q1 ‘17, no one knows. But don’t forget that we took the difficult decision of building those ships in the most expensive yard in the world. We didn’t take the easy option of going to China and paying 20% less. Thus, I believe because of the quality of the ships and the quality of the workmanship, if we want to sell them, we can sell them. On top of that, on a matter of finance I have to tell you that when you have $1 billion in assets and only 35% debt to assets and you have the flawless record with 21 banks, you can raise the finance if you want in 48 hours. Thank god, we are in the position where we pay cash for all these installments for these ships. And in order not to spend shareholder money in fees, we prefer to raise the finance as to delay raising the finance as much as we can. So, we have said with the Board that we need to do have finalized the finance for all four ships within Q1 ‘16. So, we have another four, five months to finish this. Hello.
David Sachs: Yes. I am sorry. Thank you.
Harry Vafias: Thank you.
Operator: We will now move to Charles Rupinski from Seaport Global. Please go ahead.
Charles Rupinski: Yes. Hi Harry.
Harry Vafias: Hi Charles.
Charles Rupinski: Yes. I just have a quick question you have been commenting or just a more of a macro question on the legislative regime and everything with Greece that we have heard of some companies moving to Cyprus, do you have any comments on that as far as it affects StealthGas in terms of any tonnage tax or potential changes of tax regime or change in the corporate location or structure or anything?
Harry Vafias: Thank you, Charles. Very, very clever question, because its totally something which is in the news lately. The answer is that all the big companies have had a Plan B. None of the big companies actually want to move. We are all happy being where we are for us and our staff. With the new regulation after the Greek bailout, the tonnage tax increases marginally, so that will not affect us. If there are any other changes because this is Greece, so you never know. If there is something else that really affect us or a tax on the ship’s income or a big change on tonnage taxes then I guess, yes we will have to move. But it’s not that difficult because as you know we only have the staff in Greece and nothing else is in Greece. I mean, all of our ships are out of Greece. We keep a close to zero cash in Greek banks. We have no Greek flags. We have no Greek crew, etcetera.
Charles Rupinski: A quick question on that, would you have to move staff to Cyprus or wherever you are going or could you just re-domicile the company and keep the staff where they are?
Harry Vafias: Good question again. That is not clear yet from the Greek authorities. Normally, you are considered a Greek company, if you are making the decisions in Greece. So the answer to your question is – but again if that does not change, the higher management should – if all this happens should not be in Greece. The lower staff, I guess can stay in Greece, but the higher management has to be somewhere else.
Charles Rupinski: Alright, understood. Thanks for the color.
Harry Vafias: Thank you, Charles.
Operator: [Operator Instructions]
Harry Vafias: I guess there are no other questions. I would like to thank you all for joining us at our conference call today and for your interest and trust in our company. And we look forward to having you with us again at our next conference call for our third quarter results in November. Thank you very much.
Operator: That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.